Operator: Good day and welcome to the Q4 2016 DHT Holdings Inc. Earnings Conference Call. Today’s conference is being recorded. At this time, I’d like to turn the conference over to Mr. Eirik Uboe. Please go ahead, sir.
Eirik Uboe: Thank you. Before we get started with today’s call, I would like to make the following remarks. A replay of this conference call will be available at our website, dhtankers.com, through February 7, 2017. In addition, our earnings press release will be available on our website and on the SEC’s EDGAR system as an exhibit to our Form 6-K. As a reminder, on this conference call, we will discuss matters that are forward-looking in nature. These forward-looking statements are based on our current expectations about future events, including DHT’s prospects, dividends, share repurchases and debt repayment; the outlook for the tanker market in general; daily charter hire rates and vessel utilization; forecasts of world economic activity; oil prices and oil trading patterns; anticipated levels of new building and scrapping and projected drydock schedules. Actual results may differ materially from the expectations reflected in these forward-looking statements. We urge you to read our periodic reports available on our website and on the SEC’s EDGAR system, including the risk factors in these reports, for more information regarding risks that we face. I am joined by DHT’s Co-CEOs, Svein Moxnes Harfjeld and Trygve Munthe. And with that, I’ll turn it over to Trygve.
Trygve Munthe: Thank you, Eirik. Good morning and good afternoon everyone and thank you for joining the fourth quarter 2016 earnings call. Before we go in to the quarterly presentation I would like to the make the following statement, which we currently ask you to respect. As we announced in our press release issued on Sunday evening, we received last Friday a non-binding highly conditional proposal from Frontline to acquire all our outstanding common stock. We respectfully refer you to the Sunday press release and the related 6-K that we filed on Monday for further information. We note that our Board is in the process of evaluating the proposal consistent with its fiduciary duties. We expect the Board's decision will be announced in due course and do not intend to address the offer or answer any questions relating to it today. So as we normally do we will go through a short presentation of the highlights for the quarter before we open up for your questions. You can find the link to the slide deck on our website dhtankers.com. If we then turn to the highlights for the quarter you should note the following. During the quarter we extended the time charter for the DHT Europe for another 12 months at the rate of $31,250 per day. During the quarter we spent $20.8 million buying back $23 million worth of our convertible bond. And then the month of January has been eventful on the fleet side. On the 11th, we delivered the DHT Chris to its new owners who by the way will take the ship out of the world's trading fleet. On the 16th we took delivery of our DHT Tiger the 6th and last ship in our Cat [ph] class. And on the 20th, as part of our fleet renewal process we signed a contract with Hyundai Heavy Industries for two larger VLCCs of 319,000 deadweight for delivery in July and September next year. If we then turn to our earnings, the VLCCs for the fourth quarter sailed in $34,300 a day as previously announced. The time charter VLCCs earned $41,400 a day bringing the fleet average to $37,100 a day for the quarter. And for the full year our VLCCs earned an average of $43,400 per day. And then importantly for the first quarter 2017, we have so far booked 60% of our spot days at the rate of $48,300 a day. While we think it's a great start to year which we expect to be choppy in the freight market. Let us then move to the income statement. Top-line came in at $67 million driven by comparative spot earnings and solid contribution from the ships on time charter. Operating expenses and G&A were both sharp, so combined we generated an EBITDA of $47 million and net income of $17.8 million, which gives the basic earnings per share of $0.19. And for the quarter we'll pay a dividend of $0.08 per share and so for the full 2016 we will have paid pay a total of $0.58 in dividends. Quickly on to balance sheet we enjoy a sound balance sheet. Leverage is moderate for this point of the cycle with interest bearing debt to total assets at 50% of book values and 54% on a mark-to-market basis. We'll then turn to our time charter book. We do have a considerable time charter book with six VLCCs and two Aframaxes currently on time charter. Assuming no extensions of the charters that expire during the year, 26% of our available days are fixed at rates generating a total of $76 million. This equates to 44% of our expected total cash cost. So in other words, about the quarter of capacity covers almost half the cost. The basic net present value analysis of our time charters against current FFAs and broker time charter rate assessment suggest the value of around $0.40 per share for our time charter book. This next slide our cash breakeven you have seen a numerous times before. And now we just want to give you an update on where we stand for the calendar year 2017. The first stack bar shows you the breakdown of our $172 million expected cash cost for the year. The second bar shows you what rates the ships must sail-in in order to generate a total of $172 million. And in the third stack bar we address for the fixed income time charter and you see that the spot VLCCs need to earn only $18,000 a day in order for DHT to go cash neutral over the year. And with that I’ll turn it over to you Svein.
Svein Moxnes Harfjeld: Thank you, Trygve. Following on from Trygve’s comments on our cash breakeven levels, we will elaborate a bit further on the attraction of this downsize protection. On this slide we are putting our robust cash breakeven levels into the context of the historical spot market. We’re illustrating annual averages of VLCCs spot market with the blue bars in a descending order. The green line across the chart represents our spot cash breakeven level of $18,000 per day for 2017. As you will see our cash breakeven level is very favorable when compared to historical earnings of VLCCs. In fact no single year has on average over the past 20 years being below our cash breakeven level. The downside protection illustrated on the prior slide thus however not take away the upside participation that our stock provide. On this chart the Y axis measures U.S. dollar per share and the X axis U.S. dollar per day spot rates. The blue line illustrates estimated free cash flow per share in various market scenarios. We’ve then make some examples with the blue dots. As you will see a $30,000 day market would generate some $0.70 of free cash flow per share. The 20 year historical number or $45,000 per day would generate about $1.5 of free cash flow per share. This exemplifies the significant operational leverage in the DHT stock offering plenty of upside participation. On this slide we are use asset values from Clarksons Shipping Intelligence Weekly in combination with our fourth quarter balance sheet to estimate the net asset value of our stock. We had a young fleet with an average age of 6.8 years. You may note that 10 of our VLCCs with the two new buildings included are younger than five years of age. To the list the blue bars combined illustrate the value of our fleet of $11 per share. The folding orange bars represents cash other assets and as Trygve addressed earlier in the presentation the meaningful value of our time charter book. We then deduct debt and other liabilities shown here with the two red bars. As such the final green bar indicate the net asset value of about $5.7 per share. On top of that and as you heard Trygve say we have booked 60% our spot capacity of this quarter at $48,000 per day. So we will obviously build significant [indiscernible] during the current quarter. Our stock offers good trading liquidity. Shown here is the three months average daily trading volume of our stock compared to a relevant peer group of tanker companies. The liquidity is measured in U.S. million dollars per day. As you will note DHT is a very liquid stock offering ample opportunities to invest, divest and trade. At this slide we will discuss our latest effort in renewing our fleets. As stated earlier we expect 2017 to offer compelling opportunities to grow and renew our fleets. We do not think there is any rush in acquiring second hand tonnage and as such one should not expect any immediate news flows from us in this regard. We have however contracted two VLCC newbuildings on what we deem to be very attractive terms. Although we have not disclosed the price, you should assume that it compares favorably to resales. The ships will be delivered earlier scheduled for July and September next year. We have obtained favorable payment terms with three installments of 10% during the construction phase and 70% on delivery. The attractive price includes large deadweight and DHT’s typical upgrades. Additionally the newbuildings will of course with three compliance as well as include Ballast Water Treatment Systems. Further we have the option to include scrubbers to meet the sulfur limitations in fuel that will be implemented from 2020. We will finance these two newbuildings with cash at hand and 50% bank debt. Importantly we do not intent to issue any stock to finance this project. The newbuildings will have variables cash breakeven levels including OpEx, interest, debt amortization and drydockings, we estimate the cash breakeven level to be about $17,600 per day. The rate required to earn 10% unlevered return will be some 20% below the 20 year historical averages. The market needs to be below $22,000 per day on average over 20 years for the project to lose money. We think the combination of price, delivery and specification makes this expansion financially and operationally very compelling for DHT. The much anticipated regulatory requirement to three ballast water has now been ratified. IMO requires that ships need to install ballast water treatment systems during their first drydock after September 2017. DHT’s fleet is well positioned in this regard. Including the two newbuildings 12 of our VLCCs have systems included. Our CapEx schedule related to ballast water treatment as such is very light. As you will see on the graph to the left we only have one Aframax during second half of 2018 and one Aframax and two VLCCs during 2019, one which would likely be due for retirement. The next time we will need to consider this following these dates are -- is in the second half of 2021. As you will see in the graph to the right there is a meaningful part of the older VLCC fleets that will be exposed to CapEx related to ballast water treatment systems over the next couple of the years. We expect this to support retirement of older ships at some earlier times than what would otherwise be the case. And with that we open up for questions.
Operator: Thank you. [Operator Instructions] We will take our first question today from John Chappell from Evercore. Please go ahead.
Jonathan Chappell: Thank you. Good afternoon guys. So the first thing I want to ask was about cash deployment there it wasn’t stated I think in black and white that there has been any change to the distribution policy whether it’s dividend or buybacks and you were pretty flexible with it in the fourth quarter buying back the convertibles and as well as still doing an $0.08 dividend. So just as we think about going forward given current events it seems like the converts are still very good use of capital. How do you look at those and balance that against dividends as you look to the choppy 2017 that you mentioned?
Trygve Munthe: You’re right we deviated a little bit from past practice in paying out as much as we did in the combination of buybacks and dividends. But I just wanted to remind everyone that the policies has minimum 60%. So there’s really nothing preventing us from doing more. I think it’s a combination of -- we had a lackluster third quarter with sort of limited dividends, we came with a fourth quarter that was exceeding most expectations and we felt that it was a good time to pay a decent dividend despite having been quite aggressive on the convert buybacks. Going forward I think we wholeheartedly agree that to buyback your own convert at meaningful discount is quite attractive for the company and its shareholders. So we would like to follow that, but then again we have been paying dividends through the cycles in the past without giving any promises I think that would be preferred for the company going forward as well.
Jonathan Chappell: So you mentioned the fourth quarter paying above the 60% because of I guess the quarter was much better than expectation. So really as you think about the mix going forward is it going to be depending upon how well you do? So for instance if you do just say $0.10 in basic EPS which would obviously be less than the fourth quarter, would we expect that to be fully dividend and no buyback whereas if you were to do significantly more than that and had more capital to deploy, you may be more balanced with the buyback and the dividend?
Trygve Munthe: I think the priority would be to -- we're optimistic in the buyback. So when there is a good discount I think that would be a priority for us. And if we do that in a sizable way then there we should be under normal circumstances less available for dividends. Does that make sense?
Jonathan Chappell: Yes it does. So just one last question then, another two part on the VLCC order was that your relationship with the shipyard given the prior six ships that you're able to get such prompt delivery or is that kind of industry standard now that the lead time is less than 24 months?
Trygve Munthe: I think in general the shipyards of course are hungry for business. But that being said that there is a limit as to how quickly you can get the ship delivered with lead time on equipment and so forth. We certainly enjoy a very good relationship with Hyundai. And they have been in regular dialog with us about opportunities. And we felt that now the price and the terms and delivery that we can get was certainly very attractive to DHT. We would not expect large flurry of similar orders to be placed. Although of course some ships will likely to be ordered. But we certainly think that this is also reflection of a good relationship we have with Hyundai both in terms of price and delivery.
Jonathan Chappell: And that kind lead to the part two of this question too, I mean it's pretty established at the second hand market has been beating up a lot more than the newbuild market has. So a lot of owners are talking about using the second hand market both because of more attractive terms, but also to not add new tonnage to the fleet. Given these terms that you've been able to attain do you think that that balance is shifting now where there may be more incentive to go to new builds in a bigger manner and kind of avoid the second hand market.
Trygve Munthe: I think for us it's not an either or. We certainly have ambitions in acquiring attractive and good quality second hand ships also. Albeit we don’t see any rush to do it. So it's likely going to be a mix for us and we think it make sense also to renew our fleet and when it comes to ace distribution and newbuilding of course we view more bank for the buck. So economics are quite similar we would say, but there are some added attractions to the newbuild getting our specifications. And we think also there is no rush to have ships in the water this year as we do expect this to be a bit of a choppy year.
Jonathan Chappell: Okay, I understand thank you for your time. Thanks Trygve.
Operator: Thank you. We will take our next question today from Mike Weber from Wells Fargo. Please go ahead.
Mike Weber: Hey, good morning guys how are you?
Trygve Munthe: Good, thanks.
Mike Weber: Hey I wanted to touch on that the newbuild order once more. And forgive if you mentioned this and I just didn't catch it. You actually disclosed what the price tag was on those two newbuild orders?
Trygve Munthe: No we've not disclosed the price tag. But what we do say is that the price is favorable when compared to resale opportunities in the market. So we included this to be very attractive investments for DHT.
Mike Weber: Okay. And maybe just to dig a bit deeper into that. Can you talk a bit about where -- in your prepared remarks you actually gave some metrics around kind of dance around kind of a return associated with the newbuild order. But can you maybe kind a talk about where that actual return hurdle was to go in and place that order. And then how applicable that return hurdle was for other investment decisions that may come down the pipe?
Trygve Munthe: I think we have discussed in the past that a simple metric that we use is to look at the acquisition price. What is the required rate to give you a 10% unlevered return. And we want that rate to be meaningfully below the historical averages. And I think as I mentioned in the prepared remarks. The historic average is just over $45,000 a day for these. And on this one 20% below that and that's even before you start factoring in the eco that I mentioned earlier the fuel efficiency. So we think it’s a just a very compelling proposition.
Mike Weber: Sure. You are having a bit of a leeway kind of built into that 10% I guess paradigm are using there. But is it fair to say that the similar framework you would use to address other investment decisions kind of across the spectrum both in terms of acquiring and selling assets.
Svein Moxnes Harfjeld: Yes. So looking back if I may add our track record, we acquired 16 VLCCs between the third quarter of 2013 and the second quarter of 2014. And then looking at the required rates we earned 10% unlevered return on those investments are varying from the best investments somewhere in the high $20,000s and then the mid high $30,000 range. So and again they were all -- it was meaningful daylight between the 20 year average and the required rates, so certainly a model that we like.
Trygve Munthe: As we show in the deck if you get historic rates all over again it's 23% return on equity based on 50% financing. And I think also quite interesting if you're of the various mindset. It needs the average needs to drop below 22,000 a day before we start doing on this investment.
Mike Weber: Now definitely sounds interesting. Just wanted to kind of keep dancing around the kind of returns and assets in fact you are kind of in lieu of the 100 time growing the room. But if I think about assets here I mean you have always obviously kind of dipped your tone of the newbuild market. But when I think about the asset spectrum as a whole how close to a bottom maybe even on a percentage basis give me a range maybe in terms of do you think we actually are. And then when do you think we could realistically see an inflection point? And I know that's a bit of a crystal ball type question but it's obviously pertaining kind of given some of the questions you guys are kind of answering right now with the growth of the Board and different strategic options. So maybe your outlook around that assets cycle would be very helpful.
Trygve Munthe: I think last year you had some 25% to 30% drop in second hand values. And we think most of that drop is taken out there might be another 5% or so. But tell more or less but this will also greatly depend on how the spot market actually performs through the year. So it's a bit harder to say an exact numbers, but I think as a broader statement we think we are somewhere well in our spot prices and that there might be a little margin to be had by waiting a bit by buying second tonnage.
Svein Moxnes Harfjeld: And I think based on our negotiations with Hyundai we don't think there is much downside to that price at least not in the short-term. And of course it's a different proposition because you get delivery 18 months out or more. And in this case we think that is a pretty close to ideal delivery point the way we see as the market playing out. But we are I guess afraid that the second hand we always said have a bit further down to go as we think the freight market is going to be choppy over the summer.
Mike Weber: That makes sense. And just one more and I'll turn it over but along those lines just based on what you guys are seeing right now in the market when do you think is the earliest point we could realistically see asset value start to move higher? Is it a 2018 handle or do you think it could be right around this year?
Trygve Munthe: It’s very hard to say right. And it really depends on how the fright market operates in detail. So whether it's six months ahead of us or nine months or twelve months it's very hard to say.
Svein Moxnes Harfjeld: I wouldn't be surprised if it is a second half of this year.
Mike Weber: Okay, that's helpful.
Trygve Munthe: I think one thing we do note in that is that we are active in inspecting quality second hand ships. And we do take note of the people that are inspecting the same ships with us. These are other highly respected tanker companies some on the sharpest private companies out there. And it's more than just one or two guys there is typically five, six, seven people having a look. So it gives an indication that there is interest now in moving in and investing in some of these ships. Hence there should be limitations also how far down these values can go now.
Mike Weber: Sure that's encouraging. All right, I'll stop here and turn it over thank you guys.
Trygve Munthe: Thank you.
Operator: Thank you. We will take our next question today from Ben Nolan from Stifel. Please go ahead.
Ben Nolan: Yes thank you. So just a couple of questions for you. Number one, obviously you guys were pretty active in the last quarter on buying back the converts. So they're now -- they look to be trading above par. Is that sort of a trade that you would really only contemplate below par or could you maybe just walk me through how exactly where the price point is in terms of where do you think that’s an attractive use of capital?
Trygve Munthe: I think you’re [indiscernible] hitting at it, then that it’s certainly more compelling with a sizeable discount and we haven’t bought anything above par and don’t expect us to do that in the short-term.
Ben Nolan: Okay. And then my second question relates to something that had mentioned in the prepared remarks with respect to the newbuilds, you said that you have the option to install scrubber but it doesn’t sound like that it includes a scrubber right now. Could you maybe just walk me through how you’re thinking about that obviously at some point if the IMO regulations come into play it would make sense to have a scrubber on a new vessel, but by having an option does that mean that you’re sort of not sure that that timeframe will play out or how are you thinking about it with respect to your ordering vessels?
Trygve Munthe: I think the regulations are certainly coming into force. So for us we -- it allows us a few months to consider the various technologies that are available to us. Some of them have already been priced to us. It’s also a question of whether you’re basically getting a bit technical, whether you are going to run with so-called open or close loop systems, which gives you differential as to whether you will still burn lots of raw fuel in emission control areas. And then operated the scrubber in open sea or scrubber in both areas. So these are just things we want to fully assess and evaluate before we could decide. But we certainly think that it makes sense to include this equipment so chances are it will happen one way or another.
Ben Nolan: Okay, that’s helpful. And roughly with respect to newbuilding and the prices that you’re seeing for those types of things how much incremental this installing a scrubber cost to the base level of an order roughly?
Trygve Munthe: So we have a price for an open loop system at $2.4 million.
Ben Nolan: Okay, all right. That does it for me I’ll turn it over thanks guys.
Operator: Thank you. We will take our next question today from Magnus Fyhr from Seaport Global. Please go ahead.
Magnus Fyhr: Thank you good afternoon. Just had a follow-up question on the new orders, I guess one of the key selling points for the tanker market going forward is that we really don’t have a lot of deliveries past 2018 and we have pretty heavy delivery schedule in 2017 and 2018. I guess it makes sense in the microeconomic way to order ships, but from the macro perspective it seems like nothing changes in the shipping industry more people will ships going forward. At what level would you be concerned with other companies starting to put orders in for 2019 delivery?
Trygve Munthe: I think Magnus that it is a bit different this time that capital is lot more difficult to come by now than it was, last time there was some big order wave going on. If you look at this 18 months from summer 2013 till the end of 2014 some 70 VLCCs were ordered and by our count about half of those were ordered based on raising equity and debt to finance that. And quite frankly we don’t think that’s available today. So you’re looking at much smaller group of owners that are in a position to place orders now we think. And I think also just as the statement in the shipping markets things don’t get overbuilt when things are cheap, that happens when it’s expensive it’s not at the moment.
Magnus Fyhr: Okay. And just the new -- I mean you sort of answered a question before on newbuildings versus second hand values, what’s the liquidity on the VLCC side is that more of a driver than that you think that the values may decline going forward or how’s the liquidity in the five year market for both for VLCCs?
Trygve Munthe: Liquidity in the five year old market say if quality ship building Korea, Japan typically is very thin so very few ships available. But that is not the key factor for us. There is a price that you can get the an asset for and we think that is the case moving into attractive areas, but you do think it makes sense that this occasion now to get ships delivery next year through built to the specifications we want to. And we do have as you all know the western auto makers are our largest customers and these are type of ships that they certainly would like in their services.
Magnus Fyhr: Okay, thank you. And just one last question, you picks another ship I guess four months on little bit over $30,000 a day what things goes on in the market now and people will concern for 2017, what’s the liquidity in the time charter market?
Trygve Munthe: It’s also rather thin, so broker estimates today are in the high 20s range, but if you look at SSA [ph] market it is lower than that. So there rather few opportunities to do time charter in general. So I think, people should not expect that it’s possible to really put all ships out and cover at the rate that we did for the entire fleet.
Magnus Fyhr: Okay, that's it from me. Thank you.
Trygve Munthe: Thank you.
Operator: Thank you. We will take our next question today from Noah Parquette from JPMorgan. Please go ahead.
Noah Parquette: Thanks. I wanted to touch on the financing, you guys said that you are going to finance the two vessels with cash in hand and new bank debt of 50%, have you had discussions yet there I mean how comfortable are you with obtaining financing in lieu of your statement that financing is hard to get?
Trygve Munthe: We’ve had preliminary meetings with one of our closest banks and they are very enthusiastic about the project, and we’re highly confident that we can do 50% with an attractive repayment profile on that competitive pricing. So, we’re very confident that that will be put in place in a relatively short-term.
Noah Parquette: Okay. And then on the contract themselves in your discussions the delivery dates that you’ve got are those the earliest that were available, is there a lot of the availability in that time range. And also in terms of the price I know you can’t disclose it, but did you get a sense that the shipyards are operating with thin margins right now there is not much more room to look for?
Trygve Munthe: This was the earliest delivery that was available and we do get a sense that the three large Korean yards to have some berths available for second half late in. But it’s not possible to really kill the market from this. So, we would expect a few more orders to be place and then certainly that second half ‘18 window at least in Korean will begin.
Noah Parquette: Okay. Go ahead. Thanks.
Operator: Thank you. We will take our next question today from Fotis Giannakoulis from Morgan Stanley. Please go ahead.
Fotis Giannakoulis: Yes, hi gentlemen and thank you. I want to ask you about how do you view the trade the last few weeks, we have been surprised say how stronger the market have been versus prior expectations. If you think that this strong rate they are attributed to the anticipated OPEC cut and whether you have seen any changes in the trade the last few days as some of the OPEC producers are preparing to reduce production?
Svein Moxnes Harfjeld: Could well be that the start to the first quarter is reflection of people wanting to ship out as much oil as possible before the cut kind of being implemented. But also another component here is that the majority of these cuts are coming from the Middle East and we have seen quite a lot of activity in sourcing barrels from the Atlantic and in particularly in West Africa. So there is ton-mile effect also in this and of course these always makes very attractive to call the market on the exact dollar what is going to do. Right now the stop market is probably in the mid-30s and we don’t expect it in the short-term at least to go up it’s maybe a sideway scenario. So -- but as Trygve said earlier we overall of the year we expect it to be a bit choppy, but it will still be volatile and you will have periods with good rates and periods with not so good rates.
Fotis Giannakoulis: Thank you. And I want to ask also about the all late discussion about the changes in the new administration and the new rules that they might be implemented regarding the import tax. How do you view this is going to affect the crude tanker market and the flow and the potential increase in the differential between the double EPI [ph] and spread and also the impact on U.S. crude exports? And how about -- what will be the consequences for the tanker trade?
Trygve Munthe: That's a lot of geopolitical considerations. But we think it’s a little early to speculate in what potential future legislation is going to lead to in terms of consequences for our market. But of course restrictions on free trade is not really welcome from shipping perspective. But I think it's really hard to assess much beyond that at this point.
Fotis Giannakoulis: Okay, thank you very much for your answers.
Trygve Munthe: Thank you.
Operator: Thank you. We will take our next question today from Robert Silveira from RE Silveira Marine Surveyors. Please go ahead.
Unidentified Analyst: Hello gentlemen. I want to congratulate you on I think a very well done quarter. You reduced the shared, you used a lot of the available funds to reduce the preferred. And how far do you want to go on that? I heard that you will not go below par. And I don't know exactly how much you intend to do. Just my basic question is really you have a certain debt-to-asset ratio right now. Do you feel comfortable with that on an ongoing basis? Or do you intend to continue to reduce that debt asset ratio.
Trygve Munthe: As we said that we are quite comfortable with the balance sheet as we have it today. And balance sheet is one thing, but what it implies in terms of cash breakeven. If you have followed our company for a while you will discover that this is really a key metric for us. So we will continue to try to manage the business so that we at all times have a very sharp and competitive cash breakeven. I think that's more important to us than the actual leverage as a percentage. But on the convertible bond we think of this at this point debt and a potential dilutive factor. And from both of those perspectives it reduce the shareholders that we continue to chip away and buying back. So it expires in the second half of 2019, so there is a fair amount of time to work on this, but we will be opportunistic as we said earlier.
Unidentified Analyst: Yes I as a shareholder are very pleased with the fact that you're reducing the potential of additional shares and all that you're planning is all done without the issuing of additional shares. I think you've done a wonderful job of managing the business and again as a shareholders I hope you stay independent because what has apparently been offered is paper. And not paper that is backed in my mind as substantially run as you guys have done.
Trygve Munthe: Thank you very much. We appreciate that like our capital allocation.
Unidentified Analyst: Yes very much so. And I like the idea that you have reduced debt to the extent that you have. And taken free cash to apply it appropriately when you feel towards the preferred buybacks. I think that is very wise and I hope you do continue. Thank you very much.
Trygve Munthe: Thank you very much.
Operator: [Operator Instructions]. We will take our next question today from James Jang from Maxim Group. Please go ahead.
James Jang: Hey good morning guys. Most of my questions have been answered, but on the two Aframaxes have you had any enquiries on just extending these charters or...
Trygve Munthe: The charters are -- will expire in the second quarter of this year. But it’s certainly our ambition to either extend them with existing clients or to find the new charter with another client. So this is an ongoing process. It’s a bit early to execute, but it should be a first quarter event for us.
James Jang: All right, great. Thanks guys.
Trygve Munthe: Thank you.
Operator: Thank you. We will take our next question today from Spiro Dounis from UBS Securities. Please go ahead.
Spiro Dounis: Hey, good morning gentlemen. Thanks for taking the question. Just had a quick one here sorry joined the call a bit late so if you discussed that I apologize, but just on funding the cash portion of the newbuilds I think you’ve got $109 million now in cash balance and I think that includes $49 million that went to the Tiger when it was delivered. And then I think you’ve obviously also got a dividend payment to make which brings you down to more or less around $50 million, I think you got $60 million coming due in the next year. So as we think about the sources of cash how much are you pulling from away through share buybacks and dividends to fund those down payments? And I guess how much is coming from the revolver? Thanks.
Trygve Munthe: We envision leaving the revolver alone and that we can comfortably pay the equity portion on the newbuilds based on cash at hand and future cash flow and keep in mind also the sale of the Chris has generated free cash and there’s other things and in the quarter as we speak we’re generating a fair amount of cash.
Spiro Dounis: Got you, okay. And so could we see additional vessel sales or you don’t think that’s necessary at this point?
Trygve Munthe: The vessel sales were not really to fund newbuilds it was that we think the price that we could obtain for a 15 year old or 16 year old ship at this point made sense. So it is more think of it as a continuous fleet renewal rather than selling to buy new ones.
Spiro Dounis: Got it, okay. And I know you’re not taking questions here on recent events totally respect that, just want to confirm I think three things that you’d mentioned in the prepared comments; one, I believe you said you believe you’re undervalued I guess from an NAV perspective; two, you’re pretty content with your trading liquidity; and then finally it sounds like you’re comfortable with your balance sheet and your ability to fund growth are those three fair comments that you made?
Trygve Munthe: I think we gave an opinion on where NAV is and then we stated that trading liquidity in the company is very good and certainly up there with our peers and the bigger peers and that our balance sheet is certainly sound and healthy, yes.
Spiro Dounis: Very clear. Thanks gentlemen.
Trygve Munthe: Thank you.
Operator: [Operator Instructions] There are no further questions at this time over the telephone.
Trygve Munthe: Okay with that we say thank you to all for participating at our conference call and staying tuned to DHT. Thank you very much for your continuous support. Good day.
Operator: That will conclude today’s conference call. Thank you for your participation, ladies and gentlemen you may now disconnect.